Operator: Thank you for standing by. My name is Marie, and I will be your conference operator today. Welcome to the Canadian Tire Corporation Earnings Call. All lines have been placed on mute to prevent any background noise.  Now, I will be passing along to Karen Keyes, Head of Investor Relations for Canadian Tire Corporation. Karen.
Karen Keyes: Thank you, Mary. And good morning, everyone. Welcome to Canadian Tire Corporation’s Fourth Quarter and 2021 Year-End Results conference call. With me today, are Greg Hicks, President and CEO, Gregory Craig, Executive Vice President and CFO, and TJ Flood, President of Canadian Tire Retail. Before we begin, I wanted to draw your attention to the earnings disclosure which is available on the website.  And includes cautionary language about forward-looking statements, risks, and uncertainties, which also apply to the discussion during today's conference call. After our remarks, we'll be happy to take your questions. We will try and get in as many questions as possible, but we ask that you limit your time to one question plus a follow-up before cycling back into the queue. And with that, I will turn the call over to Greg.
Greg Hicks: Thank you, Karen. Good morning, and welcome everyone. Before we get into the details of our Q4 and full-year results, I want to start by reminding everyone that this year Canadian Tire is celebrating its 100th birthday. That's 100 years of being here to make life in Canada better. Not just through the products we sell and the services we offer, but also the support our teams provide to our communities.  One of the ways we do this is through Jumpstart, which helps kids overcome barriers to sport and play, and that includes barriers created by the pandemic. Since Q4 of 2020, Jumpstart has dispersed $25 million through the Sport Relief Fund to help nearly 2,300 organizations keep their doors open. This funding ensured that more than 220,000 kids could return to their teams and community organizations once it was safe to do so.  At the same time, Jumpstart continued to move forward with its commitment to removing accessibility barriers to sport and play. Since we first announced our commitment to building a more inclusive Canada in 2017, Jumpstart has dispersed $23.8 million through its inclusive play project. Last year alone, Jumpstart completed the construction of three inclusive multisport courts and five inclusive playgrounds.  I'm pleased to report that our charity is on track to achieve their goal of constructing at least one Jumpstart playground in every province and territory by 2023. I think it's worth mentioning that through the construction of Jumpstart playgrounds in 2021, 45,000 tires were diverted from landfills. The recycled crumb rubber is used to create the playground safe and accessible surfaces.  Another great example of our innovative sustainability initiative is at Mark's, where we recently launched a pilot program to recycle our flexible plastics. We're only a few months into this project and in Q4 alone, Mark's diverted 2.5 tons of flexible plastics, which is equivalent to 250,000 plastic water bottles. These are just a few examples of our many sustainability initiatives which together helped contribute to Corporate Knights, once again, naming us among the most sustainable retailers in Canada and listing us as one of their Global 100 Most Sustainable Corporations.  This achievement is a testament to our continued efforts across our ESG practices, and I'm so proud to see our teams work recognized on a global scale. But as I've said before, we know that ESG is a process, not a project, and our work continues. With that, let's get into our fourth quarter and full-year results. Our exceptional results in the fourth quarter concluded what has been a record year for CTC.  In the quarter, we delivered strong comp store sales growth of 11% with double-digit increases across most banners. Revenue excluding petroleum was up 3% against strong comparative and an extra week in Q4 of last year, and EPS was up 5%, reflecting strong performance in our retail segment. These record results in the quarter cap off an exceptional 2021, with comparable sales up 8%, revenue excluding petroleum up 9%, and e-commerce sales up a remarkable 30% reaching $2 billion for the year.  We finished the year incredibly strong on EPS. With the quarter above $8, full-year EPS jumped to a record level of nearly $19, an increase of almost 50% compared to 2020. There's no question, this was another challenging year and I'm so pleased with and proud of our results, but I'm certainly not surprised for a number of reasons. First, after nearly two years of COVID-related uncertainty and anxiety, our team members continue to step up for our customers, our communities, and each other.  I'm so grateful for their hard work, their innovative ideas, and their unshakable commitment to our brand purpose of being here to make life in Canada better. Second, we successfully anticipated the wants and needs of our customers who are facing another Christmas spent at home while also considering the needs of those getting back on the road and back to the rink. As expected, Christmas, automotive, and hockey were the biggest drivers of our sales in Q4.  Our strong inventory position enabled us to help Canadians make the most of their Christmas traditions and festivities by having everything they wanted and needed to celebrate the season, from Christmas trees and decorations to sporting goods and toys.  I also want to add that in the quarter, 40% of our sales across our banners were driven by our own brands. Across the North American retail industry, scarcity of inventory and pricing have led to a tremendous amount of brand switching by customers and private labels have benefited from this trend. Unlike many other retailers, we were well-positioned to take advantage of this trend because we've put considerable effort and energy into developing or acquiring own brands that provide both quality and value, such as Canvas, NOMA, Sherwood, and WindRiver to meet our customers needs across our banners.  Third, we have incredible capabilities that enable us to withstand even the most unprecedented of challenges. Our strength in omni -channel capabilities made it easy for customers to shop in whatever way they chose. Even with our stores opened for in-store shopping, customers also turned to digital, click and collect, and our pickup lockers to help them fulfill their wants and needs. Our e-commerce sales reached $0.5 billion in the fourth quarter, a penetration rate nearly doubled that of pre -pandemic levels.  And as I mentioned last quarter, our strong supply chain capabilities and experienced management team enabled us to navigate considerable challenges, including the flooding and mud slides we saw in November. As a result, we remain well-stocked with the products our customers wanted and needed during the holidays. Given the ongoing and significant supply chain challenges, we are continuing to build lead times into our supply chain processes as we assume that from sourcing to arrival at our distribution centers, orders will take longer than in previous years.  We also ordered earlier for offshore sourcing and continue to ensure we have incremental shipping capacity by chartering our own vessels if and when required. Between our team’s incredible focus on execution, our rock solid supply chain capabilities, and the strength and relevance of our multi-category assortment and our bolstered omni -channel capabilities, we were well positioned to win in 2021 and the results speak for themselves. At this time, I want to spend a few minutes talking about our Triangle credit card and our Triangle Rewards Program. New credit members increased 36% versus Q4 of last year.  With a more digitally focused credit card acquisition strategy, our new credit card member acquisition increased by almost 50% compared to 2020. Since 2019, we've doubled the number of customers acquired through digital channels. We also set a new record in the quarter when we welcomed more than 770,000 new members to our Triangle Rewards Program. For the year as a whole, we attracted 2.4 million new members to the program, 39% more than the cohort we attracted last year. We're thrilled to be growing our membership base because, as I mentioned, last quarter, members spend more.  Their average basket size is higher, and they shop across multiple banners and channels. Case in point, in 2021, total loyalty spends increased 11%, representing 58% of retail sales and outperforming total POS growth of 8%. Our Triangle Rewards member’s basket size continues to outpace non-member basket size with the average member basket being 30% higher than non-loyalty. And last year, more than half of our Triangle Rewards members shopped across multiple banners, exceeding our plan target for the year. But there's more to the story than simply growing our number of members, it's also about what type of members we are attracting. A large portion of the 2021 cohort is made up of a younger customer demographic, a shift we're very happy to see. Our data suggest that the millennial generation is departing major cities to adopt suburban and rural lifestyles, and both our assortment and multiple shopping options are leading to the emergence of millennials as a key component of our Triangle membership customer base. We've also seen a shift in terms of where our members are coming from. Previously, we would acquire the majority of our new members at CTR, and many of those members would subsequently shop across our other banners.  In 2021, however, nearly half of the new members we acquired were at SportChek and Mark's and now those members are shopping at CTR for the first time. It's evident that customers see real value in being part of the Triangle Rewards Program, and we're thrilled to see more and more Canadians experience and shop across our banners and brands, some for the first time, thanks to the power of Triangle. 2021 also marked one year since we integrated Party City in our Triangle Rewards Program. As a reminder, part of our strategic rationale for acquiring Party City’s Canadian business in 2018 was, to not only add new categories, but a new customer base.  We were confident that by adding Party City to Triangle Rewards, it would further strengthen and expand the program by bolstering its appeal to millennials and Canadian families. And it turns out, we were right. Our Party City standalone store comparable sales were up 26% in 2021. And the party supply category within CTR stores is now a significant category with considerable room for growth. Although these are excellent results in their own right, what we've -- what we're even more excited to see is the Triangle is already helping drive engagement and trips to Party City.  I'm going to take a few minutes to give you some additional color on this specifically, because our results with Party City are a fantastic illustration of the power of our Triangle Rewards loyalty program. First, there were 380,000 Triangle members who shopped at Party City last year, which represents 20% of total sales. What's also interesting is that over 95% of these members also shopped at CTR, and their average sales per member at CTR, was 65% higher than the average spend of loyalty customers who shop only at CTR. In other words, Triangle Rewards members who shop at Party City spend more at CTR.  Second, these 380,000 members over-index in the 30 to 49-year-old segment and are more likely to have kids. Third, three quarters of these 380,000 members have given us permission to contact them directly, either by e-mail or through our app for potential digital campaigns, which is much higher than for the typical CTR shopper. So the Party City acquisition is doing exactly what we intended as our investment thesis. It's attracting new, highly engaged customers to the Triangle Rewards Program, it's increasing the relevance of our offering to our members, and it's driving increased sales at CTR.  We continue to add more of our banners into the Triangle program as we recently did with Pro Hockey Life, just in time for the return to hockey. To close out my prepared remarks on our Triangle Rewards Program with more loyalty members, improved engagement in the program, and more ways to earn Canadian Tire money, it's no surprise that we continue to have record years in terms of both issuance and redemption of ECTM. Our year-end ECTM balance increased significantly compared to 2020, which we believe to be a healthy indicator of future engagement with our banners.  Before I turn it over to Gregory to review our results in more detail, I wanted to provide my thoughts on our financial services business performance. I'm extremely pleased with the portfolio metrics the business is delivering. From the risk levels that remain near all-time historic lows to our growth in credit card sales and active accounts in the quarter, the metrics for the business remains strong. And while income before tax maybe down in the quarter compared to last year, the way I think about the business is by considering income excluding any changes in the ECL. This provides me with a sense of how the underlying business is performing almost on a cash basis. And on this basis, earnings excluding any change to the ECL increased in the quarter by 6% while we grew our new credit card customers. Truly a great result. And with that, I'll hand the call over to Gregory to take you through the financial highlights of the year and the quarter.
Gregory Craig: Thanks Greg, and good morning everyone. 2021 was an exceptional year. And I will focus most of my comments on Q4 performance. However, I do want to start off with a few full-year highlights. Further to Greg's comments, I could not be more pleased with our great finish in Q4, leading to a record-setting $18.38 in diluted EPS for the year, up 49% compared to 2020. 2021 marked another year of exceptional top-line growth, with comparable sales up over 8% for the year, growing off of the 10% increase from a year ago.  On top of that, we achieved an outstanding 13.6% in our retail return on invested capital, one of our key performance metrics. Now, before I start to discuss the quarter, I just wanted to take care of a few reminders. As you recall, 2020 had an extra week, and consistent with our past practices, we've been calculating comparable sales growth on a shifted basis. For example, our sales in week 52 this year are compared to sales from in-week 53 in the prior year. In contrast, retail sales and revenue growth are calculated without any adjustments.  And due to an extra week in the comparative period in 2020, both revenue and sales growth rates are noticeably lower than comparable sales growth. Now, let's get into the results in the quarter starting with EPS. Our strong top-line in gross margin translated into exceptional earnings growth in the quarter. We reported diluted EPS of $8.34, an increase of 5%. And I should remind you that this result comes off on the back of an exceptional EPS growth of 47% last year. After normalizing for $6.5 million in operational efficiency expenses, normalized diluted EPS was $8.42, $0.2 ahead of last year.  Our retail business continued to show strong momentum in the quarter, delivering $60 million in year-over-year IBT growth. And while financial services recorded an increase in sales, strong operational and credit performance metrics, profitability was impacted by a higher allowance as a result of increased customer acquisition and a growing receivables volume, which I will discuss further in a few minutes. If we consider the key drivers of growth in our retail business, I would start with sales. As Greg mentioned, our consolidated comparable sales grew 11% in the quarter, while retail revenue excluding petroleum was up 3%.  Truly fantastic results of an exceptional Q4 a year ago. Our comparable sales performance was consistently strong across all of our banners. So I'd like to share some highlights for each of them, starting with CTR. CTR comp sales were up 10% in the quarter and up 23% on a two-year stack basis. On top of significant growth in 2020, 75% of categories grew this quarter, and about half of them achieved double-digit growth. A clear sign, this was a broad-based performance.  Automotive, seasonal, and playing with the top divisions, and drilling into the category level, our Christmas and tire categories stood out. As a result of our team's proactive approach to securing product, combined with their strong understanding of customer needs, our must wins businesses in the quarter excelled with tires up 17% and Christmas categories up 21% on top of 41% a year ago. With the return to sports, another category which saw exceptional growth was hockey.  At both CTR and Pro Hockey Life, our hockey business increased 50% and 90% respectively. A brief comment on CTR sales and revenue pattern, which has been a pointed discussion over the past few quarters. Following some significant divergence in the revenue and retail sales pattern at CTR throughout the year, on a two-year stack basis, retail sales grew 23%, while two-year stack revenue was up 22%. As we have pointed out in the past, over the long term, the growth patterns for these two metrics tend to converge, and we're observing this trend come more in line with our historical observations.  As I move to cover SportChek and Mark's, I can't stress enough how pleased we are with the performance of these two banners and how well they've faired throughout the pandemic. At SportChek, comp sales increased an impressive 16%, driven by strong consumer demand, improved assortment depth in key categories, and a fully operational store network compared to a year ago. Hockey was up an impressive 78% and categories such as athletic footwear, athletic clothing, and casual clothing all experienced double-digit growth.  Now, turning to Mark's. Building off its strongest Q4 in record, it delivered a 15% comparable sales growth in the quarter. With all stores fully operational in the quarter, our Brixton Motor demand saw a significant uptick. Our data and analytic capabilities allowed us to invest in the right inventory to support growth and our decision to buy heavily in key product categories such as casual footwear, men's wear, and industrial wear reports. Helly Hansen also had a strong quarter, delivering Q4 revenue growth of 28% with growth across all categories.  The strongest contributor in the quarter was a sports wholesale division, up 28% and representing over 62% of Helly's total business. Geographically, the U.S. saw the strongest uptick in demand, followed by Europe and Scandinavia, and we were very pleased with 29% growth in Canada. Moving down to P&L, let's look at margin. Retail gross margin rate, excluding petroleum, increased significantly up 204 basis points compared to prior year. The margin rate improvement was mainly driven by an increased rate at CTR.  As you know, key operational activities undertaken by the corporation and our dealers to drive enterprise performance in the last two years have resulted in a higher overall level of profitability. As a result of this, we've recognized higher benefits associated with our sharing arrangements with the dealers. The bulk of these benefits are typically recorded in Q4, and this was the case again this quarter. Partially offsetting our margin gains were higher freight costs as we've highlighted earlier in 2021.  Due to a more challenging supply chain environment, we continue to monitor and manage these freight costs across the enterprise. Impressively, SportChek and Mark's margin rates also increased. And while both banners benefited from a higher mix of bricks and mortar shopping, at Mark's, margin improved primarily as a result of the data-driven enhancements in our promotional activity, while SportChek saw lower promotional and clearance activity due to cleaner, healthier inventory positions.  Our normalized OpEx -- our normalized consolidated OpEx ratio, as percent of revenue, came in at 23.3%, unfavorable by a 192 basis points compared to 2020. This increase in the quarter was primarily due to higher variable compensation costs, marketing, and supply chain costs. For marketing, we indicated in Q3 that spending was starting to return to more historic levels. In Q4 in particular, one of the drivers of marketing spend was at financial services, as we increased our credit card acquisition.  On supply chain, we continue to see a higher spend as a result of a challenging supply chain backdrop. These increases were partially offset by savings achieved under our operational efficiency program. Last quarter, we spoke to achieving $200 million plus in annualized savings target a quarter early. These savings came through the implementation of more than 150 initiatives, with many of them focused on improvements in ecommerce fulfillment costs and store labor productivity.  When we're thinking of the OpEx ratio, we believe the clearest picture of progress is to compare our annual OpEx rate for the retail segment going back to 2019. This for several reasons. First, this comparison excludes any impacts due to the pandemic. And importantly, it accounts for the fact that operational efficiencies primary focus has been on the retail segment. Finally, 2019 is the base year when our OE program launched. With this, our 2021 retail segment OpEx rate has improved more than 100 basis points since 2019.  Although we are pleased with this performance, we continue to pursue further opportunities to optimize our operational leverage and improve profitability as we pursue another $100 million plus in run rate savings that we discussed last quarter. Finally, I'd like to highlight several key impacts in our financial services business, which experienced an uptick in customer activity in the quarter while continuing to deliver strong operational metrics. Credit card sales were up 25% this quarter, while spend across our CTC banners increased 23% compared to 2020.  We are pleased to report a 5% increase in our average active accounts. Mark in Q4 as the highest quarter of average active accounts since the onset of the pandemic. This trend was driven by increased customer engagement and the team's efforts on customer acquisition. Active account growth was the most significant driver of GAR, which was up 6.3% in the quarter. Credit metrics remained very strong with the net write-off rate down 175 basis points in the quarter, while our PD2 plus rate was essentially flat to the prior year.  With the $320 million growth in ending receivables since Q3, we saw a $30 million increase in allowance on our books. This was in contrast what we saw in Q4 last year when we had a $27 million decrease in allowance. Reflecting primarily strong receivable growth, allowance rate came in at 13.2% in the quarter, down 161 basis points from the prior year and comfortably within our target range of 11.5% to 13.5%. With respect to our financial health, at the end of the year, our balance sheet was in a strong position with all segments experiencing healthy liquidity.  Our operating capital spend came in line with the previously communicated range at $670 million. This was $359 million higher compared to the prior year, as we drove higher spend in real estate and IT, in support of our strategic capital agenda, and some catch-up from deferred projects in the prior-year. As I have said before, investing in the business remains our key priority and I look forward to providing more color on 2022 capital priorities at our upcoming Investor Day.  I remain incredibly proud of the team and what they have continued to accomplish over the last two years. And I really look forward to reviewing our strategy and financial aspirations with you at our Investor Day in a few short weeks. With that, I'd like to hand it over to Greg for his closing remarks.
Greg Hicks: Thanks, Gregory. Overall, we are very pleased with how the business performed last year. I want to take a moment to thank our leadership team, associate dealers, and team members across the enterprise for their steadfast commitment to who we are and what we are in service of. As CTC, we know our purpose. We're here to make life in Canada better. And by doing this for our customers every day, we are achieving this for our shareholders as well, by continuing to deliver strong results.  Before I close, I want to give you some insight into what we're seeing so far in Q1. Quarter-to-date, we continue to see healthy demand signals from the customer in both our retail business, which continues to be up against strong comps, and at our bank, where we remain focused on growing our base of credit card holders and our receivables. Just a quick reminder that a year ago we were facing significant retail restrictions in Quebec and Ontario, and the bulk of our Q1 sales came in the second half of the quarter.  The restrictions a year-ago resulted in an elevated ecommerce penetration, which is unlikely to repeat in the current retail environment. In terms of the ongoing supply chain challenges, we continue to stay one step ahead. We ordered early for spring and summer, and in many cases, these products are arriving earlier than last year. Our year-end inventory increased by $168 million compared to the previous year, primarily due to an increase in us in-transit inventory at CTR, and this will ensure we continue to be in a position to meet demand.  I also want to mention inflation, as I know that topic has been on everyone's mind for the last few months. We are clearly operating in an environment where inflationary pressures are real. And we continue to look at demand elasticity drivers and use our Triangle Rewards program to promote how our assortment can deliver choice and value to customers. We are confident that we have the right business model for what looks to be a more inflationary environment as we move through 2022.  We look forward to giving more insight into our strategy and unpacking how we will continue to allocate capital as we invest in the health of our store network and modernize our business model at our Investor Day on March 10. I'll now pass it over to the Operator to open it up for questions.
Operator: Thank you.  We ask that you limit yourselves to one question plus one follow-up question before cycling back into the queue. We'll pause for just a moment to compile the Q&A roster. The first question is from Irene Natell from RBC Capital Markets. Please go ahead, your line is now open.
Irene Natell : Sorry, and good morning, everyone. Obviously, really, really strong performance across the retail founders. But if we focus on CTR specifically, can you provide more information around sort of the composition of the sales base? How much of that growth is driven by big ticket items, kind of one-time purchases, and you mentioned something about average transactions. I'm wondering if you could provide more information on that, please.
Greg Hicks : Thanks. Good morning, Irene, it's Greg, maybe I'll just kick it off and then hand it over to TJ. When we were preparing for this call as a team last week, we anticipated this would be a question because we've heard it before. And one of the things that I was really interested in as we're going through some analysis is a breakdown of our retail sales by price point through the pandemic. So maybe I'll just set the context here for you.  That over 90% of our assortment in CTR has a consumer price point of under $50, which represents 50% of our sales, and on a two-year basis through the pandemic, has represented over a third of our sales. So we are certainly seeing widespread growth in the business across the spectrum of price points. items over $200 have also driven a third of our growth through the pandemic. I'll let TJ walk you through as he know where the key categories are, but he can give you a little bit more color.Then that, I just thought that was helpful context in terms of the composition of our sales through the pandemic by price point.
Irene Natell : Absolutely. Thank you.
Tj Flood : I think a -- yes. Thanks for the question, Irene. I think Greg said it well. I think what's been driving our growth is the diversity of our assortment. Gregory touched on it in his section of the opening remarks. I mean, we had 76% of our categories grow in Q4, and 50% of those grew at double-digit. So the pervasiveness in the diversity of our assortment has really been fueling our growth, and we've seen growth across all price points. We really have.  And when you look at that, the fact that the vast majority of our sales volume comes below $100 price point and with 50% of the sales volume coming below $50, and that that has been big contributor of our growth as well, I think you'll see that we've got a very diverse portfolio. And we take great pride, category by category, making sure that we offer consumers choice at the good, better, and best price levels within categories. And that's what we're going to continue to do as we go forward is exposed value to consumers and provide them choice no matter which categories they choose, and it's that diversity that's going to carry us forward here.
Irene Natell : That's really helpful. Thank you. So follow-up question. As you think about the current environment with inflation at unit cost and through the supply chain, how do you think about the serve -- you breaking down the assortment between good, better, and best? And when we've been to prior periods like this in the past, how have you seen consumers respond and adjust?
Greg Hicks : Maybe I'll take that, Irene. I would say, if we're trying to isolate here for the impact price, had on the top line in the quarter in the year. I'd say, the story is similar for the quarter in the year. What we saw is that price had much less of an impact on volume. Our unit throughput was really strong across all of our business. Every banner has the story line. So as we look forward, we -- our expectation is, this is going to come a little bit more into balance given the cost inflation that we're seeing in our business. Yes.  Prices is moving onto the customer, but we don't intend to give -- as we've talked about before, we don't intend to give an inch competitively. As TJ has said before, I think our model continues to test the elasticity to drive value for the customer. As it relates to the hierarchy of good, better, or best, it's more of the same in terms of what TJ said. We were seeing growth in every level of the hierarchy.  We pushed our analysis with the teams as we, again, we were preparing to understand if we're seeing any trade down whatsoever. We aren't. We saw tremendous growth in the best value of the hierarchy in the quarter in the year, and we'll just continue to monitor and report back on our progress as we start to see any movement in the hierarchy, but know that that's something we're paying in a pretty particular attention to as we move it -- move into a different environment here as we head into 2022.
Operator: Thank you. The next question is from Brian Morrison for TD Securities. Please go ahead. Your line is now open.
Brian Morrison : Yes. Good morning. I want to ask a question similar to what Irene was getting at, but maybe a bit more directly here, without infringing on your forthcoming Investor Day, I get asked about the benefit upon your retail results from the pandemic and I just wanted to hear, it sounds from your commentary that you are quite positive, but I just wanted to hear what your high-level view was on your ability to call your retail results as we get into 2022, and maybe just some of the key drivers.
Greg Hicks : Sure. I mean, I can't tell you how much I'm looking forward to our Investor Day. These calls are great and we provide -- we try to provide as much color on the performance of our business as we can. But we always feel a little constrained with respect to really getting deeper and demonstrating our conviction for the business. So I'm looking forward to sharing just how far our capabilities have evolved and the role that they play in driving our business going forward.  It will be our job to make sure that you clearly understand the drivers of our business performance and how -- our view in terms of sustainment and in our time together. As I'm looking over at Gregory here, I'll continue to manage with constraint today and certainly come back to this in a few short weeks on March 10.
Brian Morrison : Okay. Maybe I can just switch gears here to Gregory because I wanted to ask a question on financial services. I want to know how you're thinking about as you've switched to account acquisition here. I want to know how you're thinking about the marketing spend year-over-year. What we should be looking at in 2022 relative to '21 and then should we expect the allowance provision to further move down into your comfort range of 11.5% to 13.5%?
Gregory Craig : Yes, I'll start off, and Greg may want to pile on a little bit of around acquisition. But as we talked about, we are really pleased with what's been built as a result of the pandemic ground digital acquisition, and I really think the team's done a great job. So as we -- as you know, the store networks are now reopened. That continues to be a great source of new account growth for us. But we really augmenting that with, as Greg said, a strong focus on the digital channel, which we didn't have before.  So as we're looking forward, this is an area that we're going to and we said this before around investing in the business. It's similar to this. This is an area we will look to invest and to grow in because it's not only good for financial services, it's frankly good for retails. We've said before, it's a way to accelerate the distribution of Canadian Tire money that only comes back to our family of companies. So it's certainly a banner, sorry, a banner -- the segment that's critically important to us, and we think there's great opportunity to grow as evidenced by some of the growth we've seen in the last year.  As it relates to ECL, you're right. There's a few factors that are going to be moving the ECL. One, as we experienced this quarter, one was just growth in receivables, which drove the need to add a little bit to the allowance, but we put -- put us back in our range of 13.17%. So kind of in that public range that we provided before. There's a -- it's going to be a bit contingent, Brian, around what our growth rate is versus if there were other economic changes in the environment. So that would be the only caution I put out there is that we're there to be a significant change in unemployment rate.  Well, that might make this discussion a bit more complicated, but if the environment stays to where it, that as we continue to grow the business, I think you're going to see some leverage on that rate as as we move forward.
Brian Morrison : Thanks very much.
Greg Hicks : The only thing I would add on the pure -- when you look at it on a customer standpoint, I mean, we talked about increased effort to diversifying our acquisition strategies and attracting a younger customer profile. And over half, as I said, of our new open customers were acquired through digital, and digitally acquired customers have historically been among the most engaged within our Triangle ecosystem. They spend more than customers acquired in all other channels, and they're quicker to profitability in the bank.  And so, when you look at overall spend per customer, increasing 20% year-over-year. I think strong indicators, both new and existing customers contributed favorably to this lift. However, what I'm really interested in, is early trending suggests that new customers that were acquired in the bank in 2021 are among our best ever, spending about 30% more than both the 2020 and 2019 cohort. So that'll be something that we were -- that we will monitor closely and you can expect to hear us talk about as we move forward.
Gregory Craig : Brian just one other combination further clarify. As you're well aware, and I know everybody is there is some seasonality with Bank receivables growth in ECL rates. So I think you've got to look at accomplished period Q4 to Q4, Q3 to Q3. I wouldn't look necessarily Q1 to Q2 to Q3 on a sequential basis, you need to look on a, on a quarter-over-quarter basis. I think that's an important data point as well to remember.
Brian Morrison : Understood.
Operator: Thank you. The next question is from Mark Petrie from CIBC. Please go ahead, your line is now open.
Mark Petrie : Good morning. I wanted to ask about your promotional rate. I know this has been a tailwind for you and no doubt helped by strong consumer demand. I'm just curious sort of your expectation in terms of how that plays out in 2022. Obviously, as you spoke about, you're dealing with a lot of inflation, so maybe you need or want to give some of that back. But there's also seems to be some sustainable changes in how you approach promotions as well. So just curious your thoughts on that topic.
Tj Flood : Hey, Mark. It's TJ. Maybe I'll chime in here on this one. Obviously, when you look at margin management, I link back to the capabilities we've been building over the last couple of years and really leveraging. When you look at how we look -- analyzed data and our elasticity models, it is really allowing us to strike the right balance between price investment in margin efficiency on the promotional side. We've also been taking great strides in terms of emphasizing our targeted Triangle Rewards offers, and investing there, which gets us to become a lot more efficient because you're investing at the individual level and a lot of cases and not investing in mass price decreases.  And then I would also say from a capability standpoint, what's been helping us on our margin rate management is our own brand penetration; and we continue to see that in Q4. We had increase in penetration and a lot of growth in our own brands. And we always strive, as I said, to strike that balance of managing margins and creating demand. And as Greg said, we don't give an inch on being price competitive. And with the capabilities we've been building around customer data have just been huge and just strengthen these muscles as we go forward. So we're just getting better and better at this.  And in an environment that we're heading into with uncertainty that customer data also allows us to really find the right ways to provide value to our customers and expose that value to our customers. And that's what we're going to continue to do as we go forward here.
Mark Petrie : Okay. Just to sort of I guess bring that to a point, I mean, obviously owned brands is a tailwind and so is Triangle. So is it fair to say that fluctuations in gross margin for '22 would be mostly driven by the competitive environment, as well as any sort of leverage or deleverage on top-line?
Tj Flood : Yes. I think that's probably fair and I think what I would say is we use those -- the capabilities that I described, the elasticity modeling and the promotional investment and Triangle to help lever that up and down and engineer our margin rates. And the only other thing I'll say too is we look at a longer-term time horizon with margin rate management. We look at it over a full year basis, so it can be choppy from quarter-to-quarter. We saw that a little bit in 2021, so there could be some choppiness quarter-to-quarter, but for the most part, we manage it on a yearly basis and feel good about the capabilities we have to get us through whatever choppiness there is, whether it's competitive or otherwise.
Mark Petrie : Understood. Appreciate all the comments.
Operator: Thank you. The next question is from Vishal Shreedhar from National Bank Financial. Please go ahead. Your line is now open.
Vishal Shreedhar: Hi. Thanks for taking my questions. Canadian Tire, obviously making gains in ecommerce and the company has made a lot of progress in a relatively short period of time. I was hoping you can give us color on the customer perception of your online offer at CTR, maybe versus the customer perception at the in-store versus those in-store metrics? And relative to online, what is the trend? Is it improving, stable, or how should we proceed that?
Tj Flood : Yeah. When you -- when we -- thanks for the question, Vishal. We're -- we track all of the metrics that you're describing, whether it be customer, NPS, or some of the internal metrics. And what we found since the pandemic started is we've just been getting better and better. And our NPS scores from an e-commerce fulfillment standpoint and customer experience standpoint has been improving. Our turnaround times in terms of click and collective also been improving. And we put a lot of investment into this. When you think back into the investment required to go from 5,000 orders a day to $100,000 -- 100,000 orders a day when the pandemic first hit. We've invested in lockers at stores. A lot of technology to help our dealers pick and pack faster, the dealers themselves have put a ton of emphasis around supporting customer service in this area because we've effectively 2.5 to 3x our penetration on e-commerce since the -- since pre -pandemic so we put a lot of effort into this area and we've been seeing it both in terms of the internal metrics we track as well as the consumer response from an MPS perspective.
Vishal Shreedhar: Okay. And with respect to how those metrics look relative to in-store, is the in-store still the preferred experience? I understand that you're working to improve both, but is there a delta between those scores, between in-store and online?
Tj Flood : Yeah. I think when you think about us, we're an omni-channel retailer. And we want to be -- we want to have a great experience no matter how consumers choose to shop us. And when -- if you look at Q4 of this year, when we're open, the predominant way that consumers choose to shop us is through the stores. And our NPS scores have been improving in store as well, and it's -- it's something we take great pride in.  We have to focus on however a consumer wants to shop us, whether it's an in-store experience or an e-commerce experience, we're doing our level best and you'll hear a lot more about this on Investor Day, about how we're going to continue to invest in the customer experience as we go forward here.
Vishal Shreedhar : Okay. And just changing gears here, I wanted to dig a little bit more into the gross margin than just follow along the line of thinking that you've been giving us. So obviously very strong gross margin performance, but there's so much complication as we look year-over-year, restrictions opening, surge in hockey sales, and certain seasonal categories. The dealer margin sharing arrangement. As we look forward, like are there any items that were more transient in this gross margin benefit that we can reflect on as we look at our forecast going forward?
Gregory Craig: Yeah, I think TJ said it well, to be honest, Vishal. The way that I think of this, to be honest, is I look at it, go back to 2019, and look at the longer-term trends. As any quarter you can have some noise, positive or negative, but I would just look at the general trend line we've been on. And I, for one, I'm really pleased in terms of what our margin performance has been across all the businesses, CTR, Mark's, and check, they've all done a great job managing that margin mix, taking advantage of new capabilities. I really -- I'll echo Greg’s comment. I really looking forward to be able to chat more at Investor Day because I think it's going to be important to understand all the capabilities we've build over the past few years, so that you and others can understand. Frankly, I think the strength that we have in this area around managing the business. I'm not going to give you a margin forecast into '22 if that's what you're after. But what I will tell you is, I am really pleased with the capabilities the team has built and continues to build on. And I think they've proven their agility over the past few years.  Think about all the things that they had to work through around securing product, finding product to get on our shelves, and I just really look forward to having some more time to kind of talk about the competitive posture at Canadian Tire, and how pleased we are with the assets, the capabilities we have. That's -- Vishal, that's the best way I would answer your question.
Operator: Thank you. The next question is from Patricia Baker from Scotia Bank. Please go ahead. Your line is now open.
Patricia Baker : Thank you, good morning, everyone. Greg, in your opening remarks and in your discussion of the big ramp up in sales of owned brands getting to 40%, you mentioned the fact that, one of the drivers there is that there is a scarcity of inventory because of supply chain disruption, and so you're seeing Brands switching. And I'm just curious whether or not you guys are looking at that as an opportunity to -- once people switch to your brand, see that as a trial and have them permanently switch to your brand and incentive specific that you're doing with targeted promotions to make that happen?
Greg Hicks : Yeah. Thanks, Patricia. Yeah, absolutely. I mean, we much like -- we just talked about different fulfillment experiences and how we measure customer satisfaction through NPS. We do that for all of our own brands as well. And obviously, more and more trial gives more opportunity to take feedback from customers in terms of what they think about our brands. We're quite happy with the portfolio in terms of what customers -- how customers are feeling about the value. And more specifically, something we're very focused on is the quality.  So we have a strong indicator in terms of how customers are feeling post-purchase about these brands when you think about our promotional program, all the way through to new programs like Triangle Select, we're really trying to lean in to provide more incentive for the customer to engage with our own brands. I mean, it's such a differentiator for us through the pandemic. Having direct relationships with vendors and manufacturers has been a great competitive advantage for us during the supply chain disruption allowing us to secure more on-time deliveries without big bottlenecks that drove shortages for some of our national brands, and for us, and for other retailers.  So, yeah, we've got very good indicators and metrics that help us understand how to incent. Were even starting to target with offers in our bank targeted towards owned brands. And we feel like we've got all the data and a really, rally strong product development capability that will have our penetration continue to grow at the margin differential that we're accustomed to as we move forward here.
Patricia Baker : Okay. You provided a great segue for my follow-up because what I was going to ask about was one of the drivers of own brand is innovation, so that product development capability you're talking about. And just you didn't -- haven't specifically mentioned it, but just curious if you can, I don't want to steal from the thunder from Investor Day, but you feel you have a good strong pipeline on innovation for 2022, and did you have some particular successes in 2021?
Greg Hicks : Yes. We had a lot of successes in 2021. It was widespread. I think about Helly Hansen, obviously. First and foremost, Gregory talked about very, very strong performance in the brand in Canada, mostly through Sport Chek and Shack, but also D2C. Our Vista by per journal launch was a resounding success. Our type A brand and CTR around storage and organization with people cocooning in their home has grown into a massive brand out of nowhere. I just recently saw new shots of store setups for the rally brand, for this year, lots of extension that was a multiyear platform of new assortment, that this year you'll see many more skews being introduced for rally.  And I've got a -- I have a really good stat about our pipeline of new products over the course of the next three years, but I am going to hold that until Investor Day, Patricia, because you'll hear more, obviously. This is a real special capability for us, and I would put it at world-class level.
Operator: Thank you. The next question is from Luke Hannan from Canaccord Genuity, please go ahead. Your line is now open.
Luke Hannan : Okay. Thank you very much. Thanks for squeezing me in here. Just had one question. On the Owned Brands in particular that 40% penetration is particularly impressive. I am just curious, how does that look across your retail categories and within those categories where you see the most opportunity for improvement, and how you balance that with also maintaining good relationships with those national brands, those vendors, and also keeping a good assortment available for your customers. Thanks.
Greg Hicks : I think we'll -- we feel like we're deferring a lot here to Investor Day and I'm sorry for that, but it is much more forward looking when we think about current penetration rates, future penetration rates, margin differentials, etc. And we will share that with you. What I can say is at the aggregate level, we continue to see lots of opportunity at the consolidated CTC level to grow our penetration. That will travel through really healthy increases through CTR and Sport Chek specifically.  I think you've heard us talk about Mark's. Mark's has an unbelievable owned brand component to their business. It's what helps make them who they are, but we're really trying to attract a different clientele, a different customer profile at Mark's to really open up the addressable market. And we think that the right mix is settling in around 65-35 in terms of a target. In Mark's, we're seeing great progress for those national brands.  So I do believe that in that particular business, the national brands are really starting to see us as a very attractive distribution channel that may have been deemed closed to them in previous years because we were virtually entirely owned brand make up. So I think big brands like Levi's and Carhartt are quite happy with the performance of us as a partner in Canada, and we've got some really interesting -- we're seeing great penetration, increases of owned brands in Sport Chek, and I would say that's where the more material penetration increases will be going forward, but we'll unpack all of that for you in a few weeks, Luke.
Luke Hannan : That's great. I appreciate it. Thank you very much.
Operator: Thank you. We have a question from Peter Sklar from BMO Capital Markets. Please go ahead. Your line is now open.
Peter Sklar: Hi, it's Emily for Peter. So we just wanted a little bit more color on the supply chain. So is the current arrangement with the charter shifts and the extra storage, how is this arrangement working out? Is it sufficient with regards to helping you with the supply chain situation or are there more that needs to be done that you foresee that you need to do? And where -- how exactly are inventory levels for the first half of the year? Like where is that inventory now, and how are things looking into the second half? Thanks.
Greg Hicks : Sure. Maybe I'll -- Emily, I'll try and give as much as I can here in terms of supply chain. Looking forward -- we're getting a lot of looking forward questions today. In terms of where we find ourselves right now, I'd say the biggest issue we're dealing with is a knock-on effect from the BC flooding. It's really impacted port terminal operations and railway capacity. From BC inland, I'd say both rescheduled sailings and railway capacity have been catching up.  And in many cases, it's caused delays in the range of four to six weeks. But as we sit here today, I think we're starting to see ocean port and rail capacity now getting back into an equilibrium. At a high level to your question, we are getting the inventory we expected, but the timing of inventory receipts at our -- at our domestic distribution centers for some skews and some categories, just has our planning needing to be a little more dynamic. And we do expect normal planning times by mid -- by mid-March. Looking forward, we continue to expect there to be inflated container rates throughout the balance of the year.  We have very good industry visibility into shipbuilding contracting, and when you look back over Q4 of 2020 and the first few months of 2021, new orders for the building of container vessels reached a record high. So our expectation is that these ocean carriers will push this incremental capacity into the system early early next year. So all-in-all if what you're looking for is on how we intend to execute and plan, I'd say that 2022 has us continuing to do more of the same, to manage the business as the teams have had to do in the last two years.  As part of our traditional operating processes, we work with those shipping companies to lock in a portion of our annual demand. And we've done this very successfully relative to the spot market for 2022. And we're also very focused on making sure we've got sufficient capacity to move those goods. So we once again chartered a dedicated ocean vessel, and we contracted it for the entire year. We plan to turn it eight or nine times throughout the year. So that's a new development for us that gives us greater control over the supply chain, and limit ship shipping peaks, which would otherwise expose us to spot market freight rates.  And in addition to this vessel, we've already chartered an additional three chartered sailings in the first quarter alone. So again, all that to say, very focused on tactical execution. And I just love the emergence of real agility in our supply chain and the discipline in our planning and execution. It's going a long way to achieving the results we're experiencing.
Operator: Thank you. There's no further question registered at this time. I would like to turn the meeting to Greg for closing remarks.
Greg Hicks : Thank you, Operator, and thanks everyone again for joining us today. As we've said many times, throughout the call, we really look forward to speaking with you at our Investor Day on March 10th, so bye for now.
Operator: Thank you. This will conclude today's call. You may disconnect now, and we thank you for your participation.